Juha Rouhiainen: All right. Good afternoon, good morning, everyone. It's Juha from Metso's IR, and I want to welcome you all to this conference call where we discuss our first quarter '25 results, which were published earlier this morning. Results will be presented this time by our President and CEO, Sami Takaluoma. And after his presentation, we'll be having the Q&A session. And we try and limit the length of this call to 60 minutes because right after this call, we will be having our Annual General Meeting of Shareholders. But before I hand over to Sami, we also have in this room, our incoming CFO, Pasi Kyckling. And Pasi, if you can introduce yourself briefly before we go into the results.
Pasi Kyckling: Thank you, Juha, and good day, everyone. Pleased to meet you over this media. From my side, very much looking forward to join Metso next week, becoming part of the team, becoming part of the journey. Also looking forward to engage with many of you in different ways and forms and look forward meeting you face-to-face during the coming period. Thank you.
Juha Rouhiainen: All right. Thanks, Pasi, and welcome to Metso next week. But now let's go into the results, and I'll be handing over to Sami. Please go ahead.
Sami Takaluoma: Thank you, Juha, and good afternoon to everybody. Let's walk through the results. Quarter one '25, from our perspective, market activity was very much in line with our expectations. We saw order growth in equipment side in both our customer segments, Minerals, and Aggregates. And in the quarter, we delivered a result, which was a solid adjusted EBITA margin of 16.5%. Also we continued our actions regarding the cash flow and the results were also delivered. So we had a good cash flow from operations close to EUR 200 million for the first quarter of the year. Looking more from the key figures point of view, orders growth was in the whole group 4%, and that was then delivering actually the highest quarter for quite a good time from the order perspective. Sales did decline from last year, similar way, the 4%. This was heavily linked for the timing of the orders that we actually did not get one year ago from the capital side and the deliveries then did not happen in this quarter because of that. As mentioned, adjusted EBITA a bit under EUR 200 million, but relatively keeping the solid 16.5% as a year ago and of course improving then also from the Q4 previous year. Earnings per share from continuing operations, EUR 0.14 in the Q1. And as mentioned, cash flow from operations close to EUR 200 million, and that is the improvement of 25% compared to the previous year. Then looking at the segments, starting from the Aggregate. The orders received was EUR 400 million, an improvement of EUR 35 million from the previous year. And this was -- thanks to the seasonal uptick that we did see happening actually from both of our large Aggregate markets, U.S. or North America and then also Europe. This was also supported the growth of the acquisition that we did last year. Sales point of view, close to flat, but a few millions more than a year ago, and that was also then, of course, supported by the acquisition that we had in our books in the Q1. Services share declined a little bit from the 36% that we had down to 33% now in the Q1. Adjusted EBITA, EUR 49 million, EUR 3 million less and in the margin percentage point of view, then 16%, which is still very good and solid for the lower-ish volume of the sales that we have in the Aggregate. Good cost control continues. We have very high resilience for the Aggregate segment from the profitability point of view going forward. Then let's go for the Minerals side, where orders went over EUR 1 billion by EUR 13 million. And as many of you have noticed, we did not announce large orders in the Q1 with the same magnitude as we did for the Q3 and Q4. So Q1, the order growth came from the small equipment orders and the very small projects. And it was definitely driven by the copper and gold customers. So equipment orders went actually up by 10% in the period. Sales, on the other hand, EUR 866 million, below the previous year number, that was visible for both services and the equipment side. Services share of the sales in the Minerals segment is now 67%, so close to the same level as it was a year before. And here, especially the sales volumes were impacted by the order intake that did not happen roughly a one year ago. So the backlog was not to be realized in this quarter. Adjusted EBITA, EUR 153 million, giving the margin of 17.7%. That's the same storyline here that very resilient margin for several quarters now if you look at the average there and growth from the Q4, 17.0%. Also here, we have a good cost control and also gaining the operational efficiency in many places. Then I think it's worth to spend some time to discuss about the tariff implications as we see them. First, the U.S. is accounting approximately 15% of our sales in 2024. So that's the magnitude of the business that we currently see in the highest impact of the tariffs. We have local U.S. manufacturing, but it's very limited to mainly Aggregate equipment, the three brands that we sell in the U.S. And then we have a few smaller product lines manufacturing in U.S. But from the business volume point of view, obviously, a lot of the products need to be imported to the country. Mitigation of the tariff impacts has been ongoing since they were announced. Price increases and surcharges, they are in place. Every quote for the U.S. customers is having terms and conditions aligned for the tariff situation. And at the same time, we are looking at the Metso's sourcing and supply chains to look for where the minimized actions can be created. Worthwhile mentioning here that China-based supply to the U.S., we have already earlier done the actions, and we have significantly minimized those supply lanes throughout the last two years. And we also feel that we have a very global supply chain and our extensive geographical footprint provides us quite a good amount of flexibility to support the deliveries from multiple countries and not only one. And as a consequence of all of these together, our view is that -- we, Metso, we are not expecting a material direct impact of these tariffs now announced. And the main impact will come from the increased uncertainty and volatility that the whole global economy is facing, and then that is causing some customer hesitance to move forward with the project and the orders. From the group financial part, most of the lines have already been discussed here. So adjusted EBITA below EUR 200 million, but relatively EUR 16.5 million. Operating profit, EUR 170 million compared to EUR 188 million that it was one year ago, and the profit from the period for the continuing operations, EUR 114 million compared to the EUR 124 million. And of course, all of this was driven from the sales volumes that were lower than the year before. Earnings per share, EUR 0.14 compared to the EUR 0.15 last year. And if looking at the balance sheet, so the main message here is that during the quarter, we were able to reduce by roughly EUR 100 million of the indebtedness, and that was as targeted and planned, and that was, of course, heavily driven by the cash flow elements and the work that we have been doing now for the inventory normalization that continued. And we have also good control and management system for other elements in the cash flow balance sheet and that created then our net cash flow from operating activities to be this close to EUR 200 million in the first quarter. Normally, the first quarter is quite challenging, so we are happy of this result. And from the financial position point of view, our ratings, they are very stable from the outlook point of view. And average interest rate of our loans, they are now 3.7% level. And we have done some activities to further strengthen this position that we have. And then finally, we look for the sustainability outlook and the management agenda, management outlook. Sustainability side, we have a mixed progress. Our sustainability offering, the Metso Plus, where we have a clear target that we want this portfolio to grow faster than the overall sales of the group. So we were not successful for that one in the Q1, double-digit below the target actually. And the main reason here is that we had the cycle things when certain equipment orders or project deliveries did not happen in the Q1, especially when we look our battery metal deliveries. So that was creating the situation to be not on the targeted level on the Metso Plus one. When we look at our own actions, what we do, our net zero target until 2030. So that is progressing well and in line of the road map. So we are currently on a 71% reduction from the 2019 level. And in the Q1, we closed 10 energy saving projects around the company to further continue this journey. In the logistics, we had an ambitious target to reach the 20% less level by 2025 compared to 2019. Where we are now is halfway of that. So 10% we have been able to reduce. And obviously, this year being the year that the target to be reached. So it seems quite unrealistic. And this is, of course, something that we are not happy, but this is cooperation with our partners in the logistics and the road map that they have for offering more green transport lines for the ocean and road is taking longer time than '25. But then when we look at our suppliers, they play a big role of the whole value chain sustainability. Our target was to reach 30% level at the end of this year of our suppliers to be part of science-based emission targets. And there we are above the target clearly. We are now at the 34.1%, and we will continue this journey also going forward. From the market outlook, we see that both segments, Minerals and Aggregates, they will remain in the current activity level now going forward. But we also want to make a comment here that tariff-related turbulence could potentially affect the global economic growth and then also affect the market activity. And this is something that we will, of course, observe very, very carefully and then take the actions if needed. Final page for this briefing is the management short-term agenda. So market potential is out there, and our target is to maximize the potential that we can take from this current market. We continue normalizing our inventory levels. As said, that program is progressing well, and the results have been delivered both in Q4 and Q1, and we will then finalize this program at the end of Q2. We will have the third phase of our ERP program going live during Q2. And of course, that is the management agenda to make sure that that is very successful and gives Metso possibilities to leverage the benefits then when the new system is in use also after the Phase 3. We are working with our strategy process and the target is to be as ready as possible. So finalizing that one during the Q2, latest by Q3. And then you have all seen the invitation for the Capital Market Day in the 2nd of October. And we continue to develop the company culture. I'm really happy to get Pasi, new CFO, on board and already here today with me. And he's starting next Monday is then finalizing also the leadership team, and we have then all the elements in place to continue the journey to further enhance the already good culture inside the Metso Company for achieving the results in the future.
Juha Rouhiainen: All right. Thanks for the presentation, Sami. And operator, we can now open the lines for questions.
Operator: [Operator Instructions]. The next question comes from Michael Harlow [ph] from Morgan Stanley. Please go ahead.
Unidentified Analyst: Thank you for the presentation and thank you for taking our questions. I understand that on the topic of margins, you might not want to say too much ahead of the CMD. But would it be possible for you to highlight what are the key moving parts in the medium-term and the potential sources of upside that we could see? And then on the thinking of your customers, you are highlighting the impact of uncertainty, but we also have very high commodities prices. So would it be possible to have some color on how you see the decision-making process of your customers, should we see more certainty given the high commodities prices that you're seeing? Thank you.
Sami Takaluoma: Yes. Thank you for the good question. So from the margin journey point of view, it's part of this company culture point that I raised at the last bullet there that plays a role because we still can identify from our own organization, internal efficiency areas. Also, it was mentioned that we are implementing the Phase 3 of the new ERP system, which will also increase the capabilities to create efficiency inside the organization. And then, of course, we have still some work to be done in productizing and standardizing the engineering part of the work, especially in the Minerals capital side, which will then create the margin benefits for the company. And we continue to look at the whole world at the moment from the supply chain point of view as well, and we believe that we have capabilities to identify some areas for the cost benefit for the company from that side. And also, I want to lift the other end of the equation that there are price adjustment possibilities for our wide portfolio that we are actively looking and implementing them into place. Your second part of the question was about the uncertainty, especially from the customer side. And how is that visible is mainly coming from the fact that especially the customers in countries or country where the price increases and tariff surcharges are happening cannot move with the orders of the projects that they are planning to do before they understand that what will be the new cost of the complete project, not maybe even the portion of the Metso equipment or parts and services. And that is creating some delay for them to recalculate that what is the complete cost of the project and then the return of the investment from that perspective. So that's the expectation that we will see these kind of delays from the certain customer projects. On the other hand, the activity level, as mentioned, we see it very, very active and very strong. So there is not really this -- what we highlighted is not visible yet, but we are just looking forward, and we believe that there is a room for this kind of uncertainty.
Unidentified Analyst: Thank you. That was very helpful. Thank you very much.
Operator: The next question comes from Chitrita Sinha from JPMorgan. Please go ahead.
Chitrita Sinha: Good morning, Sami. Thank you for taking my questions. I have three please, and I'll take them one at a time. So my first question is on the Minerals OE orders. This is clearly very strong in the quarter despite the lack of large orders. How should we think about the strength of the small and midsized orders going forward?
Sami Takaluoma: Yes. I have been talking about this earlier that we do have a very large funnel, meaning the projects or capital orders, small or big, that we have there with certain probabilities. And this quarter was a good testimony of the fact that you don't need those big ones always when you have a good amount of these small ones coming through and how that looks going forward. It's also the timing issue. Some customers that were moving now in the Q1 with these projects onwards, many of them have also flagged that they will do the same in the Q2 -- not the same customers, but many of the customers have flagged these kind of decisions to be made in the Q2. And that's why I see that quite solid this small equipment order volumes going forward.
Chitrita Sinha: Thanks, very clear. And then my second question is on the delivery schedule of Minerals backlog this year. In the release, you mentioned it's going to be more H2 weighted, but just how should we think about Q2 sequentially? And I guess H2 would be a bigger step-up from there?
Sami Takaluoma: Yes. I think you had it right. So we kind of knew that the Q1 did not have these deliveries, so many as year before. And now then going forward, Q2 has more of them and then it's -- if I remember now right, the second half of the year was heavier with these deliveries going forward. So that's the situation that we have on the backlog realization as a net sales.
Chitrita Sinha: Thank you. And then finally, I guess, on tariffs. Thank you for the color that you've already provided. You've obviously mentioned that U.S. is 15% of sales and the majority is imports. If I understand correctly, China exposure is limited. So could you please provide more details on the regional exposure of where the other imports are coming from? I mean, clearly, the situation is very -- can change very quickly. So any more color would be really appreciated.
Sami Takaluoma: Yes. Metso is global, and we have several locations where we have our own manufacturing. And we have looked already during the Q1 that how the product transfers or supplying from different location to, for example, U.S. market would be happening. And we see that as one option. And secondly, we have suppliers for our products or components. We might have one as like a global preferred one, but then we have been working already two, three years to identify the regional suppliers for the similar type components with the same quality that we require. And this is giving us the flexibility to look different sources than the one that we have had for the U.S., for example, in the past. And the China, we did that decision already three years ago and have been working with that. So they are from -- alternatives have been found from Asia, from India, and also the rest of the world. So this is very global is our supply chain.
Chitrita Sinha: Thanks very much.
Operator: The next question comes from Klas Bergelind from Citi. Please go ahead.
Unidentified Analyst: Thank you. Hi, [indiscernible] Klas from Citi. So could we just come back to the comment in the report that you saw more volatility in April? Did you say there -- and sorry, I said Pekka, sorry, Sami. Did you say that you haven't seen any pushouts of orders yet, but it might happen? Just to clarify that. And if you think that if there is a difference here between Minerals and Aggregates, in general, I would say that mining as an end market is a bit more protected against the macro slowdown. But if I understand you correctly there, Sami, it seems like you think there could be also a risk of decision-making in the Mining segment as well, if you can start there? Thank you.
Sami Takaluoma: Yes. Thank you. I don't mind to be called Pekka, if you feel like, but Sami is better. Thank you. No, we have not seen pushbacks yet. And the indications of that in the mining side, they have been coming mainly from the U.S. side and mainly from the perspective that the customer needs more time to understand that what the new cost level could be taking into account that everything will be more expensive in U.S. So that has been the discussion there. And actually, no real indications at all from the Aggregates side, which is very regional business globally. So -- and even from the U.S. distributors. So the seasonal pickup that they started to see, that seems to be continuing now also in the April.
Unidentified Analyst: Okay. Then on [Technical Difficulty] service orders in Minerals, they're improving quarter-on-quarter, but part of that is a bit of seasonality year-over-year, ex-FX, they're flattish. We've had quite soft order growth now for quite some time. I mean you've said about this pushouts of sort of shutdown services because the miners want to maximize production given the high commodity prices. But eventually, this is creating sort of a pent-up effect. And I'm just wondering, is waiting for that sort of kickback on the maintenance contract side, whether we can start to see an improvement here soon. I mean it can't be pushed out forever. So if you could comment on sort of maintenance plus spares and wears within the quarter and what you see ahead? Thank you.
Sami Takaluoma: Yes. Thank you. Thank you for that. Yes, it's clear. If I start from the order side of the services. So there, we see this year kind of a very solid looking when we look also the Q1 and then the coming quarters going forward. And regarding the Q1, the comparison from '24, if you look at the numbers there, that was the highest quarter from the orders point of view. So comparison was tough, and our performance was okay to fixed currencies, we did match that one. Regarding the sales, there, the topic was exactly, as you said, that the upgrades and modernizations, which we did not see coming through in 2024. And that is then the result that the sales -- because typically, these ones, they have a longer lead time, we talk about six to nine months. So orders that we did not get in the Q2 and Q3 of last year resulted that the sales was not happening then in the Q1 of this year. Underlying demand and also the underlying performance in terms of the small orders is in a good level and in the growth trajectory.
Unidentified Analyst: Okay. A final one on the inventory levels in the channels in Aggregates. I think you said before that if we had a solid Spring season, which we now had, then inventories at the dealers going into the second quarter could start to look a little bit more normal. It would be great if you could comment now on the levels of the sort of the dealer inventory levels here now going into the second quarter? Thank you.
Sami Takaluoma: Yes. They -- from the customer -- end customer perspective, have on a good level. So we have seen this slight decrease in the inventory levels of our distributors, especially in the North America, which is a good indication. It shows that the equipment is moving to the end customers. There is not a significant drop. But at the same time, as commented, we did start to see also the orders coming to Metso already at the end of the Q1. And the expectation is that that will continue in the Q2.
Unidentified Analyst: Thank you.
Operator: The next question comes from Edward Hussey from UBS. Please go ahead.
Edward Hussey: Hi, Sami and Pasi. Thanks for taking my questions. I guess first question is just on the dynamic between brownfield and greenfield. The reason I ask is because we have just talked about strength in brownfield, but failed to mention greenfield. I'm just wondering what the dynamic is that you're seeing there and whether in light of tariffs, which one is more exposed?
Sami Takaluoma: Yes. There is a good amount of greenfield discussions, and I have been happy to be able to be part of many of those as well when traveling and meeting the customers. What is maybe worth mentioning that greenfield discussions, they always -- they are interesting and they go forward, but they are also taking a long time to then really be realized. But it's also a very good indication of how the future -- a little bit longer future will look like. So that's clear from that perspective. And then the brownfield, as our Q1 orders were also indicating the small equipment orders, they are brownfield ones, and that activity level stays stable from that perspective. Which one is more impacted of potential tariff uncertainty? Most likely, that is the greenfield part that will be larger investment that needs to be done and if there is uncertainty. So typically, that is creating then the hesitance more than the brownfield one.
Edward Hussey: Okay. Thank you. And then just thinking about the strong pipeline that you've been talking about on the equipment side. How much of that pipeline is made up by the U.S.? I mean do you have like a kind of -- is it a very, very material part of the pipeline? Or is it just a relatively smaller amount? Thanks.
Sami Takaluoma: Yes. If we look that the total business was 15% 2024, that was coming from the U.S. So we don't see any material change of the share of businesses. So that's the amount that is linked to the U.S. But then also at the same time, the years are never the same. There are customers who are located in a region X and they are active at the same time, and then it can be the region Y that is slow one year and very active the next year. So U.S. customers are very important for us, and they play a role, but so-called hotspots in our map where we see a lot of activity happened, it's more elsewhere than in U.S.
Edward Hussey: Okay. Thank you. And then just a final question on the margins. So sales down 4%, but resilient margins, and that's been the case last year as well. I mean can you just talk through what you've been doing to protect the margins? And then if sales do pick up in H2 as you've been talking about, given the order pipeline, could you talk about what operating leverage might look like in H2?
Sami Takaluoma: Yes. I can just say that, obviously, there is a leverage there. I cannot quantify that. I don't have that kind of processor in my head to be able to calculate that, but it's clear that it's there. And then thank you for recognizing the resilience. We are having a very strong not only management agenda, but also the culture inside the company regarding this topic, and this is then visible. So it's a combination of multiple things that do happen inside and also outside the organization. It's not one silver bullet that has created this one, which also makes by the way, that it's sticky. So it's really resilient from that point of view.
Edward Hussey: Got it. Thank you.
Operator: The next question comes from Christian Hinderaker from Goldman Sachs. Please go ahead.
Christian Hinderaker: Good morning, Sami, Juha and welcome Pasi. First question is coming back to tariffs. I guess, I mean, we've sort of talked to this in terms of the initial response on your side with regard to pricing. How do we think about this mid-term? I appreciate it's a fluid dynamic, but do you think that there's a need for footprint changes? And might you look to acquire or build out production, say, in Aggregates in the U.S. at some stage? That's the first one.
Sami Takaluoma: Obviously, we, as a management, we have been looked at all of those options and a little bit more that you already mentioned. Right now, we have not announced anything. We obviously also want to understand first now, during the Q2 when the 90-day freeze period is over, what will be the real situation with the tariffs regarding the whole world. And based on that, we will then execute that scenario that best fits for that situation. But it's very clear that we have options, and we are looking to then make the best option to be then executed going forward. Right now, we are -- and if we would make a decision to, for example, build a greenfield factory for U.S. because of this situation that could happen, but we also then understand that the benefit of that will be somewhere in two years or something like that to get the production ramped up from the completely new factory. So that needs to be then looked at after we fully understand that what is the situation in the whole world regarding the tariffs and also the counter tariffs.
Christian Hinderaker: Thank you. And then maybe just secondly, coming back to the discussion on customer behavior. I mean, Q1, I think very much in the past now relative to April. And how do we think mining customers are thinking in terms of project commitments given the volatile backdrop? I mean, do you think that there's risk of pushouts to come? And also, can we just cover off the modernizations part, because I know that's improved in the first quarter. But if we see a further softening in the macro, would that weaken as well? Thank you.
Sami Takaluoma: Yes, there is no discussions, no signs of any kind of pushback of already agreed project deliveries. So they are continuing exactly as agreed with the customers, not even a hint of, from the customer side, of any kind of changes needed or wanted for those. So I think this uncertainty really boils down for the new orders and is there elements for the customers to need to rethink of their investment need at this point or postpone it to later. So as said, we have flagged this potential risk in the situation that we don't really see anything of that happening today, but understanding and being aware that that would be normal behavior for certain situations for the certain customers.
Christian Hinderaker: Understood. Thank you.
Operator: The next question comes from Andreas Koski from BNP Paribas. Please go ahead.
Andreas Koski: Thank you and good morning. A couple of questions from me. Start with Aggregates. Strong order intake in the quarter. Do you think it was positively impacted by preordering ahead of tariffs?
Sami Takaluoma: Yes. Obviously, something that we have been very much thinking as well here when we started to see those orders coming already in March from the U.S., and there is a possibility that there was some preordering. But then again, that was only a certain amount of the total orders that we got. So if that was the case, we are happy of that and what we have seen now in April. So then that continues.
Andreas Koski: And say, longer term, are you worried about your market position in the U.S. versus competitors as you import most of what you're selling? And do you have a sense what price increases are necessary to offset the tariffs as they stand today? And when will they kick in?
Sami Takaluoma: Not worried. We have done quite a lot of market studies to understand our position and our supply lanes and also then the known competitors. And it seems to be that there is quite a similar situation for the players in the both industries. So from that perspective, the worry impact is quite low. And that combined with the fact that I have discussed here already that we do have quite a good amount of flexibility to look where the sourcing happens to U.S. and that gives, in our mind, maybe even better position compared to some of the competitors.
Andreas Koski: Thank you. And then on working capital, I think your inventory level is still at around EUR 1.9 billion. Can you give any indication of what kind of inventory release that we should expect in, say, Q2, Q3 based on your plans that you have?
Sami Takaluoma: Yes, yes. I think the peak number was EUR 2 billion that we had in the mid-'24. And the program that is created now is to reduce EUR 200 million out of that, so EUR 1.8 billion, and then need to remember that we did acquire a business. And with that, we also gained a little bit of inventory that was not fully known at the time. But anyways, point is that EUR 1.8 billion, EUR 200 million down from the peak, that's the program that we have ongoing.
Andreas Koski: Okay. And then lastly, if it's okay. You mentioned many times during your presentation, the increased uncertainty and that it could impact your end markets, but you're still guiding for unchanged activity over the next six months. So I'm just a bit curious how you discussed the outlook internally and came to the conclusion that the base case is that demand will not be impacted by the uncertainty?
Sami Takaluoma: Yes, that's a very, very good question. Thank you for that. It's always a challenge because you have -- when you are looking at the global markets, you have areas where you see the positive uptick for the short-term view. And then you have areas that have some risks and then we need to make the judgment call that how do we see the whole global view. And the global view is based on the several points that we review when making this statement. It's stable, but then we just want to acknowledge that we are also a management team that has understood that this tariff situation could have an impact on the customer behavior.
Andreas Koski: That's great. Thank you very much.
Operator: The next question comes from Tore Fangmann from Bank of America. Please go ahead.
Tore Fangmann: Hi, Sami. Thank you for taking my question. Only one left. Just one question on pricing. One of your peers recently mentioned negative pricing pressure, especially for steel heavy equipment. Is this something you see as well? And if so, how has this developed over the recent weeks? Thank you.
Sami Takaluoma: Yes. We don't see that kind of pressure in those discussions that we have with our customers and the equipment and projects that we are discussing. So that's our situation regarding the pricing pressure, so.
Tore Fangmann: Okay, thank you.
Operator: The next question comes from Nick Housden from RBC. Please go ahead.
Nicholas Housden: Good morning everyone. Thanks for taking my questions. I have two left. Just returning to the Aggregates business, plus 2% organic order growth in the quarter. It looks like the first positive number here since Q4 2022 equipment orders up 16% year-over-year. You're saying the market is largely unchanged, but we assume that prebuy was only a minor impact here. Are you getting a sense that we're finally moving off the bottom of the construction equipment cycle? Is that something you're seeing?
Sami Takaluoma: Yes. That seems to be the case now. Of course, there is this part of the seasonal activity happening, but two large markets that we are in U.S. and Europe. So the positive signals were really coming from the election of the Trump, and that was our understanding that what will happen in the market, and it seems to be the right, that it creates positiveness for the construction market in the U.S. The second one, the Europe then, of course, the German announcement of the infrastructure spend for the upcoming years is something that has created the trust back for the customers, and we did see then the first positive signs regarding that one as well. So in that sense, it looks that the worst is behind from that perspective.
Nicholas Housden: Okay, thank you. And then my second one is just on the level of capacity utilization at your facilities. I think you've had some temporary layoffs in recent quarters, particularly in Finland, the order backlog is looking a little bit healthier. So I'm just wondering if you're taking some steps to accommodate potentially higher volumes there?
Sami Takaluoma: Yes. Those temporary layoffs, they were very much needed at that point. And it's also very good system in these countries that we are able to use that model because we also can get then the very skilled and important workforce back to the work relatively quickly, and that gives us the flexibility to react for the market conditions which happen quite quickly -- more quickly in the Aggregate market than in the Minerals market. So from that perspective, we, of course, are really happy of this increased order volumes and the order backlog, and that means that there is a good amount of work for our employees.
Nicholas Housden: Great, thanks very much.
Operator: The next question comes from Vlad Sergievskiy from Barclays. Please go ahead.
Vladimir Sergievskiy: Thank you very much for taking my questions. I'll have three, and I'll ask one at a time. First one, you mentioned price elasticity in the U.S., which obviously could have an impact on demand. Would you be able to discuss how does this price elasticity, do you expect it to work across your key business lines? Where it is more significant and where perhaps which business lines are less elastic to price you think?
Sami Takaluoma: Yes. I think that the impact for us, as communicated, is not so much coming from the tariffs as such. So there is not one product or one technology that would have the major impact. The biggest impact for us comes if that creates global degrowth and global hesitation of the customers to move forward with their investment plans.
Vladimir Sergievskiy: Understood. And if I can ask about the inventory, please. Obviously, very good to see absolute inventories going down a bit again in Q1. At the same time, inventory to sales ratio has barely gone down sequentially and actually up a little bit year-over-year. How do you see this specifically inventory to sales ratio developing in the coming quarters? And how dependent it is on the demand environment that you are going to see?
Sami Takaluoma: Yes. Thanks, Vlad. Very, very important question because it's also very important to understand that we are in a business that without the inventory, you are not able to do the business and serve the customers. So that is something that we will be following up and also gaining more understanding that where the right level, not having negative impact for our business volumes is lying. And now it was clear that this program that we are now executing the EUR 200 million off from the peak and reaching that level, it's calculated so that, that is not going to have an impact on our capability to do new business and serve our customers.
Vladimir Sergievskiy: Very clear, Sami. And the last quick one from me. Question on FX hedging. I remember a few quarters ago, Metso actually had a pretty material headwind to profitability from FX hedging. Does it happen to be a tailwind in Q1 at all? And if it was, are you able to roughly quantify it?
Sami Takaluoma: Maybe Pasi can answer this one or Juha.
Juha Rouhiainen: I can take this one. Yes, Vlad, you can see the positive in other operating income and expenses in the profit and loss statement. So this quarter, we were plus EUR 6 million. A year ago, it was minus EUR 8 million. And basically, the delta is coming from FX. So it was quite a bit of a negative a year ago and this time positive because, of course, our hedging comes a little bit, let's say, delayed compared to what happens in the market rates and with the fluctuations you've seen in the first quarter, that was the result. So yes, it's disclosed there. So plus EUR 6 million is almost entirely FX related.
Vladimir Sergievskiy: Very clear, gentlemen. Thank you very much. And all the best.
Juha Rouhiainen: All right. There seems to be no further questions. So we thank you for joining us this busy day. We will start to get ready for our AGM, which starts momentarily. Before that, let me remind you about a couple of important dates. Our second quarter results will be coming out July 23rd. And as Sami said, the CMD planned to take place October 2nd. And of course, invitations and other information will follow in due course. But this was it for the first quarter conference call. Thanks again, and goodbye.
Sami Takaluoma: Thank you.